Operator: Good day, and welcome to the ProPhase Labs Inc. First Quarter 2023 Financial Results and Corporate Update Conference Call. All participants will be in listen only mode [Operator Instructions]. Please note this event is being recorded.  I would now like to turn the conference over to Ted Karkus, CEO and Chairman of the Board of ProPhase Labs. Please go ahead.
Ted Karkus: Thank you, Sarah. And thank you everybody for joining me today. Before we get started, I would like to remind you of the company’s Safe Harbor language. During this presentation, we will make forward-looking statements, including statements regarding our strategies, plans, objectives and initiatives and the underlying assumptions. While we believe that these forward-looking statements are reasonable as and when made, forward-looking statements are based on expectations that involve risks and uncertainties that could cause actual results to differ materially. These risks and uncertainties include, but are not limited to, our ability to obtain and maintain necessary regulatory approval, general economic conditions, consumer demand for our products and services, challenges relating to entering into and growing new business lines, the competitive environment and the risk factors listed from time-to-time in our filings with the SEC filings. This call will present non-GAAP financial measures, such as adjusted EBITDA. Reconciliation of these non-GAAP measures to the most comparable GAAP measures are included in the earnings release furnished to the SEC prior to this call and available on our Web site. All right, now that we’ve got the forward looking statements out of the way, I want to welcome you all and really appreciate you joining me and appreciate your interest in our company ProPhase Labs. Just couple of quick shoutouts. First of all, we work with a company called Renmark that creates virtual non-deal roadshows. I do these approximately twice per month. If you are interested in hearing updates on our company, our company is constantly evolving. We are a dynamic company. We are growing in so many different areas. We are working on so many exciting things. There is so much going on. And so I like to keep our shareholders up-to-date. And if you are interested in keeping up to date, please contact Renmark, find out -- sign up with them, find out when we have another VNDR. And feel free those are video calls and I go through slide presentations and so forth. I should also remind everyone that, we have presentations on our Web site. We have two presentations. One is just for biotech division and the other is our company presentation, that was significantly updated recently. So if you haven't looked at it, you might want to go through our company presentation update, I think just in the last couple of weeks. So go to our Web site, it is really a wealth of information. I also want to just highlight, we are now covered by four companies ThinkEquity, H.C. Wainwright, Joshua Levine, Confluence, and our most recent Diamond Equity Research. All four of these analysts that are following our company have us estimated to lose money this year, while having stock price objectives of roughly $15 to $20 per share. The most recent we updated research report from Diamond Equity has us with a $20 dollars stock price objective. The reason I highlight this is because we are not an earnings story this year. Anybody that's focused on us for earnings, you invested or are following the wrong company, unless I guess you are short and you think that you are going to make money short in our stock while we are developing underlying assets, which we believe have multi-billion dollar potential that's up to you. But the point is, we took advantage of an opportunity with COVID, which was a wonderful windfall for the company and for the shareholders. We got to help people while making an awful lot of money. We always knew that was not going to be the future of the company. But we took advantage of a two and half year bear market or two year bear market in the microcap biotech stocks. And so while we were making all of this money, we were planning for our future by building out the underlying value of our company with some fantastic acquisitions and developing some fantastic technologies. And so that's what we have been spending the last two and half years doing not COVID testing, COVID testing generated revenues. I look long term. I always tell people. I believe it is my destiny to build a multi-billion dollar company. I believe that we have the platform and the infrastructure now to do so. We didn't have that before. And so what the COVID testing did is it gave us that opportunity. The other thing I would point out to you is that when we raised capital with ThinkEquity two and half years ago, we did not take that capital for granted. We used that capital to grow a substantial CLIA lab in New York and CLIA lab business with the COVID and the flu and the upper respiratory testing, we also used that capital to build out all these businesses that I'm going to talk about in the coming minutes, and all of these subsidiaries that we are developing now. And at the end of the day, we still have more working capital now than what they raised for us two and a half years ago. And so because we executed ThinkEquity and H.C. Wainwright and the other investment bankers that we work with trust us and know that we are here to protect the shareholders and develop the underlying value of our company on behalf of the shareholders. I do not take a single dollar in our company for granted. And so we spent these last years developing these other assets, which now have not only enormous potential but some of them are starting to generate significant underlying value to our company right now. So this year will not be an earning story, it's nice that we earned a little money in the first quarter. And again, I focus on adjusted EBITDA, because we have significant issues with our net income versus our adjusted EBITDA. I'm sure lots of public companies have this, because of acquisitions we made, between expensing stock options, expensing acquisitions that we depreciate over time even while the value of these assets is growing, there are some issues -- we have issues with Nebula Genomics in terms of deferred revenue. And so there are all these complicated issues. So personally, I like to focus on the adjusted EBITDA. We had a wonderful adjusted EBITDA number in the first quarter. I am not focused this year on earnings, I'm not even focused on adjusted EBITDA. You can bet that our testing, COVID testing and flu testing revenues, obviously, that's going to slow as the public health emergency is over. Also, we're going into a seasonally weaker period of time, particularly in the second quarter. We historically have been seasonally weaker in virtually every business that we're in. So you can expect that the numbers are going to weaken further. But again, we're not focused on earnings this year, we're focused on building the underlying value of our company. I'm sure most of the people on this call know our company relatively well. And I'm not going to read our press release -- earnings release this morning to you, but just a couple of items to highlight. I've certainly mentioned this on the Renmark calls. I want to make sure we're all on the same page. We have a manufacturing facility that is at capacity for which we have enormous demand. We are extremely well thought of in the industry. And from a lozenge brand's point of view, reliability of supply is critically important. The retailers go ballistic and I know this from turning around and selling the Cold-EEZE brand. The number one most important factor to the retailers after having a -- they want to carry products on their shelves that consumers want to buy, obviously. But then the second most important factor is they want product on the shelves at all times. If there is a shelf that is empty, they lose out on profitability. And that's how these buyers at Walgreens, Walmart, CVS and so forth, that's what the reviews are based on. It's making sure that they're generating profits on every square inch of shelf space. So when there's a shelf that does not have product on it, the retailers literally freak. And so there are supply chain issues in the lozenges business, which is a rather large business globally. And so we have brands, some of the largest brands in the world are coming to us and want us to do their manufacturing, some of them want us to do all of their manufacturing, not only in the United States but globally. So the potential for a manufactured facility is extraordinary. I originally kept this business primarily just to keep our infrastructure and distribution in place so that we touch all 40,000 food, drug and mass storage in the United States. But this is a business that's actually exploding. It's growing almost a 100% per year. I've mentioned in the past that I think we have demand for at least $25 million of revenues next year in 2024, and we're just constrained by how quickly we can build out the additional capacity, which is going to take this year to do so. So right now, our revenues are running up almost a 100% year over year. And realistically, I'd say $25 million for next year. I don't give estimates but I've already given this number out there, so I may as well continue to do so. $25 million is a reasonable target for next year for a manufacturing facility. It's the least interesting business we're developing and even that business has enormous value relative to the market cap of our company. And that's going to be an ongoing theme during this call is the market cap of our company relative to the various assets that we're developing, that have nothing to do with earnings this year. All right. Think about what our manufacturing facility could be worth next year. I estimate in the back of my head, there's no guarantee, certainly, but I think our manufacturing facility could be worth $70 million next year, whether that's $65 million or $75 million or some kind of number like that. And then of course, we have $40 million in net working capital, and we have tens of millions of dollars equipment. Forget that we even have a COVID testing or enough for respiratory business or any other business in our lab. Just the equipment itself that we've acquired is probably in the tens of millions of dollars.  So we could almost get to a market cap without ever even thinking about our Nebula Genomics business, our Linebacker cancer compound or esophageal cancer test. So I just wanted to give you -- or the full clinical lab business we're building. So let's talk about a few of those things. We have fully diversified our laboratory to have a full clinical lab and then we've also fully diversified it to have a state-of-the-art genomic testing lab. We are waiting for the validations, which will take another couple of months and then we will start to build out those businesses in the second half of this year with our whole genome sequencing business. Right now, we process our specimens abroad. We cannot aggressively build a B2B business until we are processing these specimens in-house. So we anticipate building a very nice Nebula Genomics business the second half of this year, particularly in the fourth quarter. In the meantime, our revenues are running up more than 100% year over year anyway. So Nebula Genomics, understand there are similar businesses that are far behind us. We're probably three to five years ahead of some of these other businesses. And yet, they have $50 million and $100 million market caps for these startup genomics businesses. And we believe that we are situated, well situated, to be the low cost provider of whole genome sequencing in the United States and potentially globally. So our Nebula Genomics business, again, right now, we're only selling direct to consumers. We're looking to leverage this business in the second half of this year. I don't know when, but all of the -- several of the major drug retailers are doing tests right now. The tests are going very well. And at some point I believe that we will get our whole genome sequencing test on store shelves like Walgreens and CVS and so forth. And then we have this fantastic B2B business. I'm not going to explain again what personalized precision medicine is, but it is the future of medicine, it's the future of research and at the heart of it is the whole genome sequencing test. And we expect to be the low cost provider of whole genome sequencing in this country. I believe that, that business is going to grow rapidly. So we are already growing 100% year-over-year. Just imagine the hockey stick acceleration of that growth when our B2B business starts. And of course, that's in addition to retail stores. I'm happy in the Q&A, if you have specific questions about Nebula Genomics. It is a very valuable business and I'm looking forward to building it further. Again, we have world renowned experts, George Church and Russ Altman from Stanford University, George Church, of course is world renowned in genomics. They are on our advisory board. We talk to them regularly. We just had a call with them a couple of days ago, and they are really involved in helping us build this business, introducing us to global players in the genomics field. There is just enormous potential. This is where the Internet was 20, 25 years ago. We are so well situated. And so then everyone knows I'm very excited about our esophageal cancer test. In fact, it's really kind of mind blowing that we have the market cap we do and we have a cancer test that literally could be commercialized early next year that has the potential of our esophageal cancer test. So I just -- it's interesting. I just happened to note just the other day, there was a company called -- actually, I'm going give you a different example first. Exact Sciences has a $12 billion market cap. They have a product called Cologuard, which is a test for colon cancer. We have a test for esophageal cancer. We believe that we are going to have CPT codes and be able to commercialize our test early next year. So just to put that in perspective, if our esophageal cancer test, if we're 10% as successful as Exact Sciences is, the value of our company would be almost 10 times what it is today. I just want to put it in that perspective for you. And when you look at our test versus theirs and it's really apples-and-oranges, because they are colon cancer tests and it's a test that consumers can take at home. Our test has higher sensitivity and higher specificity. In the 200 specimens that we tested, our test was accurate at all 200 to tell you whether or not you were going to get esophageal cancer. It's really a remarkable test. We are just looking to do more studies similar to the ones that we have already done. And then we are looking to commercialize this next year. I don't know what the ramp up looks like but the potential for our esophageal cancer test is enormous, and put it in the perspective of an Exact Sciences, it’s really scary. And so again, that's why I go back to, it's silly to focus on revenues. I say that, I did trip out into the Midwest a few weeks ago and I met with several institutional investors. And they were focused on revenues and earnings. And if you are going to focus on that again, you are invested in the wrong company. We are building enormous value. What you should take away from the last two and half years is that we have yet again executed on behalf of the shareholders. I've been investing in small cap development stage companies for 40 years. The one thing I have learned is that 95% of the time the managements don't execute on behalf of shareholders. This is what we have done, this is all I've done my entire life and this is what we are doing right now. And now we have potential multi-billion dollar assets to develop and execute on. Before they were smaller projects, turning around and selling the Cold-EEZE brand where we sold it for 50 million, that was a huge win for us. Huge. But it doesn't have the potential of the types of activities that we're working on now. And then we can talk about Linebacker, and I'm not going to go into too much detail and then I'll open it up for Q&A. And again, you can go to our Renmark presentations if you want to hear the full presentation on each of our subsidiaries. But on Linebacker, we're continuing to get really exciting results. It's one thing when you acquire technologies and you do your due diligence, it's another thing when you're actually doing the studies yourself. And what I can tell you is that unanimously every single scientist, medical doctor, professional in the biotech industry that we are working with on our esophageal cancer test and on our Linebacker cancer compound are truly excited about what they're working on. Dr. Chris Hartley at Mayo Clinic is so excited. We talk to him on almost a daily basis. He's so excited about our esophageal cancer test. And Mayo Clinic is not just based in New York or I'm sorry, in the United States, they're actually -- but they also have offices in other places around the world, including in Abu Dhabi. And as you all know, we are developing ties into Abu Dhabi, and I'll have more to talk about that in the future. So there's just so much. And if you think about it, what we're developing with the esophageal cancer, with Nebula Genomics and with Linebacker, these are all initiatives that should be developed around the world. If we're going to save lives in the United States, why wouldn't we also save lives around the world? And so with our esophageal cancer, in particular, it turns out there are other parts of the world, such as in the MENA region, where the incidents of GERD and Barrett’s esophagus are actually higher than in the United States. So there's just tremendous potential. And so on the Linebacker, as I was saying, we're getting fantastic results. We recently announced very positive results in some initial studies and analysis that we did with Eurofins. And I'm looking forward to updating our shareholders further in the coming weeks with regard to the studies that we're doing at Dana-Farber Cancer Institute in the Harvard University Society. So there's a lot to talk about there. And so while I gave the example of Exact Sciences and how that potentially relates to our esophageal cancer test, by the same token, I just happened to notice this the other day, there's a company called Biomea Fusion, BMEA, was stocking last year went from $3 to $30 on some positive Phase 2 results. And in fact in one day, the market value increased by over $500 million. Over that year, their market cap went from $100 million to over $1 billion dollars. I put that in perspective with us developing Linebacker, because it's interesting. You always want to argue that the market is efficient, but was the market efficient? If this stock was $3 a year ago, now it's $30. It had $100 million market cap, now has $1 billion dollar market cap, 10 times in one year. And we are developing assets with the same type of potential. So I don't really want to focus on stock price, but I do want to let our shareholders know we're developing assets that have the potential to dwarf the market cap of our company. And that's why, my suggestion is focus less on revenues and earnings. This is a transition year. I used the word transition in our press release today. Focus on the underlying value of the assets that we're building, because that underlying value, I believe, is enormous relative to our market cap. And I believe that the long term investors will be well rewarded if you continue to follow our stock. And so that just gives you a little bit perspective on how I'm thinking. I could obviously talk for another half an hour, another hour. I'm not going to. I'm sure there are going to be some questions in our Q&A. And again, I just want to thank you all for joining me today. And I hope that there are some good questions out there and we can get more into details on some of these various subsidiaries. So with that, Sarah, I would like to hand it over to you for questions.
Operator: [Operator Instructions] Our first question will come from Fred McDonald, Investor.
Unidentified Analyst: Ted, you mentioned that we were going international. Does this mean we are looking for partners, or are we selling our products directly?
Ted Karkus: So we have different subsidiaries. You have to understand Linebacker is a cancer compound that -- and maybe I should go into this a little bit. And this is why I love questions, because kind of motivates me to go into a little bit more detail. And so I'm going to go on a little bit of a tangent, I'm going to answer your question. With Linebacker, originally, we were focused on this from the point of view that it's a great co-therapy that could work with some of the leading cancer drugs like Doxorubicin where we found that with these other cancer drugs, critically important with the FDA that use the lowest possible dose that will still generate a therapeutic effect. And the reason for that is these cancer drugs, while they're killing cancerous cells, they also kill healthy cells. So they're very dangerous and you want the lowest possible dose. So originally, we focused on Linebacker as a co-therapy, because we found that it inhibits the growth of the cancer and we were focused on a growth factor called PIM kinase. There are multiple different kinases and we found that it worked particularly well on the PIM kinase. And so we found that in combination, you could take a lower dose of Doxorubicin and get a better result. And of course, this is in preclinical studies. And so this is what we are focused on. The reason why the announcement the other day was so important is that we found that there are other scientists have discovered other kinases and they're screaming out to major pharma to start developing drugs that directly affect these other kinases. There are kinase out there for which there is no known drug or compounds even forget about commercialized, even under development for some of these other kinases, and yet we're finding that Linebackers inhibiting these other kinases up to 99%. My point is there is enormous potential for Linebacker, bot only is a co-therapy but as an individual cancer drug that potentially could work better than many of the multi-billion dollar cancer drugs out there. The reason I went down this tangent is because this isn't just for the United States. And historically, I didn't think globally. The last thing on my mind was to think globally. I would just -- when I turned around to Cold-EEZE, we turned around in the United States. And even with the COVID testing, we are doing that in the United States. Now we are developing businesses. Why can't we save lives around the world? Why would we only save lives in the United States? So why wouldn't we collaborate on developing Linebacker in other parts of the world? And then the same goes for our esophageal cancer test, which we are looking to commercialize in the United States next year. Why shouldn't we be developing esophageal cancer test in other parts? It is life saving, it will change people's lives. I truly believe that. The scientists working on this truly believe it. If you can let somebody know a year or two earlier that they are going to get esophageal cancer, the current methodology or the current standard-of-care is for pathologists to look at a biopsy under a microscope. It's an inexact science. They diagnose you way too late and that's why people are dying in such high percentage, 80% to 90% of people diagnosed with esophageal cancer will die of esophageal cancer. It's because it's an inexact science and the pathologist is recognizing this under a microscope too late. Our esophageal cancer test recognizes esophageal cancer earlier. And there's a higher incidence of GERD, which is gastrostophageal reflux disease and parasystophagus, which is the precursor to esophageal cancer, the incidence on a percentage base is actually higher in other parts of the world, including the Middle East. So why aren't we and why shouldn't we develop our esophageal cancer test over there as well. And finally, Nebula Genomics. The world is focused on genomic research, personalized precision medicine. Anyone interested in developing healthcare and helping people and developing better science, they are all focused on personalized precision medicine, because it's all about learning about how your genetic make up plays a role in diseases you are predisposed to and how drugs and therapies work on you. As I say when two people get cancer, they get the exact same cancer, take the exact same drug and it works on one person, it doesn’t work on the other, the difference is in your genetics make up. Two people get the exact same cancer. They take the exact same drug. One needs a higher dose than the other, the difference is in their genetic make up. It all comes back to your genetic make up, and so all the research. This is where the Internet was 20, 25 years ago. So if you think about it, if we are going to be the low cost provider of whole genome sequencing test and that's for research universities and our B2B business, but also with our consumers where we are selling a subscription to our library, which is highly proprietary, it gets updated twice a week. But we have really two or three different ways we can go with Nebula Genomics. We doing that in other parts of the world at the same time. So all of these businesses are potentially global in nature. The [indiscernible] [strength] is even our manufacturing facility. We have one of the largest brands in the world that's located in another country, that's very interested in us manufacturing the lozenges, not just in the United States but potentially around the world. So we have all these businesses that we can now go global with. And so it's not a matter of one product or one service, we have several different subsidiaries that all could potentially go global. And obviously, there is nothing in our market capital that I would have. And just one last thing I'm going on to ramp. Anyone on this call, find me another biotech microcap company in this country that's developing multi-billion dollar assets that made money. I mean, I think it's almost unheard of. So again, our focus this year is not on earning money. Our focus is on developing these assets and the payback on the development of these assets is huge. I gave the example of Biomea, 10 times in one year, because they got a Phase 2 study with some positive results. Exact Sciences, if we're 10% as successful as Exact Sciences, our company's stock price will be up almost 10 times from where it is. So I just want to give that perspective on what we're developing. And the fact that we have a history of execution, there's no reason why we're not going to continue to. So I know that that didn't directly answer your question, but the point is there's no short answer to what we potentially could do globally. There's a lot we can do globally. I have opened up my eyes to working globally, and it's just a pure coincidence that we hired Sam Beeler, our Chief Strategy Officer, who has strong ties into Abu Dhabi in the Middle East, and then George Church [indiscernible] Nebula. He has strong ties to every major genomics company in the world, and we're working very closely with both of them. And then it turns out we also have investment bankers who have strong ties into that area. So there's so much potential in other parts of the world in addition to what we're doing in the United States. I hope that answers your question.
Unidentified Analyst: Ted, one more question. When are you going back to Abu Dhabi?
Ted Karkus: Listen, I have to be very careful what I say publicly and what I don't, and I'm not sure what I should say on a shareholder's conference call. But I have made it clear, we do have an MOU with G42 Healthcare. G42 Healthcare merged with Mubadala Healthcare to form M42. We're talking about companies worth billions and billions of dollars. Mubadala is a $242 billion company. There's enormous opportunity over there. We already have an MOU in place and I am currently traveling back and forth to Abu Dhabi, and I hope to have more to share with our shareholders in the short term, in short term in the coming weeks and months. And whether that's weeks or months, I don't want you to hold it. There are -- I don't want to say any more than that right now, but I can tell you that we are not sitting still. We didn't sit still in diversifying our company over the last two years and we're not sitting still on now developing the assets that we've acquired. Thank you, Fred. I appreciate your question. Sarah, next question, please.
Operator: Our next question comes from Hunter Diamond with Diamond Equity Research.
Hunter Diamond: Firstly, congrats on the results. So I saw you recently made a senior level hire in diagnostics. Maybe you talked about within oncology the company's ambitions, and then secondly, how it kind of ties into your existing assets and facilities.
Ted Karkus: Sure. So what's interesting is there are synergies between our various subsidiaries. And so, what's nice when we work with somebody that brings expertise to developing Linebacker, oftentimes this person will also bring expertise in developing our esophageal cancer test. So it's nice if there's some overlap there, because we have true experts that can work on both. As the results for Linebacker, because they're so encouraging and they're so positive and have so much potential, we're hiring more people and doing more studies. And again, I'm not breaking the bank to do our studies. We're talking about millions of dollars, not tens of millions of dollars to do these studies. And that's why I also said we're focused on building the underlying value of our company this year. We're not focused on earnings for the rest of this year. Although, by the fourth quarter, our earnings could start to get very interesting. But for the next couple of quarters, we're going to be primarily focused on developing these assets. And so we're hiring people like Dr. Matt Halpert. He has fantastic experience and perspective for developing cancer assets. And knowing -- it's really, it's a complicated business, it’s figuring exactly where you want to focus, because there's so many different cell lines and there's so many different directions we can go with Linebacker. Just even learning recently that this could be a fantastic monotherapy as an individual cancer drug and not just as a co-therapy, and learning that it inhibits these other kinases for which there's -- scientists are screaming for major pharma to develop drugs, to specifically attack these other kinases. And here we're developing a compound that has that potential. So clearly, there's a lot to be done with regards to Linebacker and its future, and we're going to explore that and develop it. We're going to do it while being very mindful of the capital that we have on hand. I always protect the shareholders’ interest. I don't make moves that hurt the shareholders. So I always have to balance between how much we're going to spend on research and development versus the bottom line. And so we spend an extra couple of million dollars on Linebacker. So be it. It has literally multi-billion dollar potential. I also understand it could take seven years and a hundred million dollars to go through the FDA, but that's not to say that we couldn't potentially partner in other parts of the world with other companies. I could co-develop it, take on a lot of the expense, but I think this has so much potential. It wouldn't surprise me if a year from now we have major pharma writing us a check for the market cap of our company just to take over the development of it, but we'll see how our other businesses are doing. If esophageal cancer test takes off, we could be making so much money on that. I may not be so quick to give up the rights to Linebacker even in other countries.  So there's a lots to weigh here but there's a lot of directions to take it in, and on Linebacker we're just getting started. Esophageal cancer, on the other hand, isn't seven years and $100 million away from commercialization. It's a couple million dollars away and potentially less than a year away from commercialization. So this -- and it's really sort of mind boggling if you think about it. And I've reviewed the numbers in the past, but our initial target market are 2 million endoscopies per year for people with Barrett’s esophagus and potentially 7 million endoscopies per year for people with the more difficult incidents of GERD. And so it's a 2 to 7 million per year testing market we're going after and getting reimbursed $1,000 , $2,000. It's a $2 billion to $14 billion market with very low competition, commercialization potentially around the corner for a lifesaving test for which is nothing like it. And something that would save the insurance companies the enormous amount of money. I've reviewed that before. So it's really incredible looking at our market cap relative to the potential of our esophageal cancer. But so we're working on both, some of the same scientists are working on both, we're collaborating and I put it in the press release, I'm not going to review all the names. But we're working with world class cancer organizations and research universities.
Hunter Diamond: No, it makes perfect sense. I appreciate the color, and that's all I have and it was a fairly comprehensive call. So thank you for taking the question.
Ted Karkus: Thank you so much. Next question please, Sarah.
Operator: Our next question comes from Yi Chen of H.C. Wainwright.
Yi Chen: My first question is could you comment on the current trend of COVID testing, probably in the current quarter and also the trend of non-COVID testing volume in your CLIA lab…
Ted Karkus: So that's probably the least interesting part of our business, but of course it had the majority of the revenues for the last two years. So COVID testing is going to continue to slow. The public health emergency has now ended. And so you can expect that the testing volumes in COVID are going to continue to slow. And then also we are going into the summer months where upper respiratory testing is going to continue to slow. So our lab business for the next couple of -- we are about to go into the seasonally weakest quarters for our company, and this business historically, this business for 25 years, the middle of the year has always been the seasonally weakest part of the year for us. So think about it with cold lozenges, no one is buying them in the spring and the summer and there is no reason to be manufacturing as much in the spring and summer. So our manufacturing would be weaker. Certainly, our COVID testing with the PHE being eliminated and with the fact that there is less incidences of COVID, that testing is slowing. And our Nebula Genomics, that business is growing, although, it's at a smaller -- albeit at a smaller base. But again, seasonally -- even with our Nebula -- actually our Nebula Genomics business, I don't want to get too much into that. That business is growing year-over-year more than 100%. But there are some factors that play a role in Nebula, it have to do with holidays and seasonal promotions and things like that. So I'm giving you kind of a confusing picture. I don't want to get too specific, but it's pretty obvious, all the analysts have us losing money this year. It's not an unreasonable expectation that we are going to lose money this year. But the underlying value of our assets are growing dramatically, which I believe dwarfs our market cap and dwarfs any issue related to whether we make or lose a couple of million dollars. It was nice that we reported a profit in the first quarter, but it really doesn't make a difference in terms of the value of the company that we are building and our objectives, and I'm not managing the company to be profitable. So you can expect that COVID testing is going to continue to slow. Our overall testing is going to continue to slow. Our clinical lab, we are not ramping that up until later this year. We have to complete the validations. And then our whole genome sequencing business, I mean that's really going to take off, I believe once we get the validations and we are doing the whole genome sequencing. We are doing part of the whole genome sequencing, the very first steps, which is called extraction. But then we are sending the specimens abroad. Most universities and most businesses don't want their specimens sent abroad. By the same token, it also creates opportunities for us in other countries that feel exactly the same way to potentially -- and I don't want to get too much into that now. But there are opportunities abroad that with the expertise we now have in whole genome sequencing, we built out a state-of-the-art lab. We believe we have built out the leading state-of-the-art whole genome sequencing lab in the country. That is a bold statement. I really believe in the business, that business is going to be big. But I think I answered your question regarding the rest.
Yi Chen: My second question is, you used the Exact Sciences as an example. So I wonder if you can comment on how many sales reps Exact Sciences is using to market their colorectal cancer test, how many sales reps you think you would need to successfully market the esophageal cancer test? And another related question is, for colorectal cancer, it is currently recommended by United States Preventive Services Taskforce. I mean, is esophageal cancer screening test recommended by any national guidelines? And if not, what the company can do to get the esophageal cancer test more visibility and recommended by guidelines?
Ted Karkus: So these are great questions. I don't want to get too much into Exact Sciences. I really just want -- and I guess I really don't want to be talking about other companies. And I was really saying this more for our shareholders to give them some perspective in terms of the magnitude of the potential. It might be an interesting case study to see how long it took Exact Sciences to build up into a $12 billion mark cap company. By the same token, the dynamics are slightly different, because they have a test that they can send to your home. There are issues with patient adherence. As far as the preventative or the recommendations with esophageal cancer, right now you have gastroenterologist telling you have to -- you should get an endoscopy. They're the ones -- this is going to be driven by the physicians with esophageal cancer, you're going to have physicians. And with our test, understand our initial target market is just on people that are already getting the endoscopies. So we don't have to sell them on getting an endoscopy, we don't have to recommend it, we don't need an institute recommending, we're targeting patients who are already getting the endoscopies. All we're doing is targeting the physicians to say, hey, you're already doing this endoscopy. You already have seven, eight, nine specimens that you're studying under a microscope, we need a sliver of one of those specimens, one of those tissue specimens is to study with our tests to give you much more accurate readings on whether or not your patient is developing esophageal cancer. So we don't necessarily need a huge sales force. What we need are the cancer institutions and key opinion leaders to get behind us and to make it well known to the community of physicians and GIs that they need this test. And that's why we're presenting at the major cancer conferences right now, and a lot of these conferences are very difficult to get into. But because our results are so fantastic, we're being accepted to present. So we're continually presenting at the cancer conferences. And so we're just working on key opinion leaders and major cancer institutes get behind us. We're working with world renowned institutes in this regard. We're building up the recognition within the community and we're going to continue to do that, while we hired an expert that's going to get us a CPT code. So we're doing all the right things in terms of the sales force, those are logistics that we'll be developing throughout the course of the year. But understand the business is a little different, because we're dealing with physicians, GIs, who are clearly going to hear about our test. I would say every GI in the country a year from now is going to know about our test. And so we get the CPT codes, which allows reimbursement by insurance. We believe it's going to be a no-brainer. How are GIs -- if you have a test that can save your patient's life, how is a GI not going to say, oh, let's add this test on. We're already doing the endoscopy, let's add this test on. And what person who has esophageal cancer is scared to death of dying of esophageal cancer? What person isn't going to want that test? Even if they paid cash for it? What person on the planet isn't going to pay -- I don't care if you're on welfare -- if you had to, you could pay a $1,000 to $2,000. You could pay a $1,000 for a test to find out if you're going to die with esophageal cancer. And you find out early enough you can do a simple ablation procedure to destroy the pre-cancer cells before they become cancer. So the dynamics of the business are a little different than Exact Sciences. I simply point out that, look at -- the success of Exact Sciences when their sensitivity and specificity, which is the accuracy of -- with false positives or false negatives is significantly less than the accuracy of our test. So all I'm simply suggesting is we have enormous potential and this is initial target market is on the patients that are already the GIs, are already recommending that they get the endoscopy. So we don't need a cancer institute or anyone to recommend the endoscopy that's already being done. All we're doing is saying, hey, you're already doing the endoscopy, why not do this simple test, which will give you much more accurate results. I hope that answers your question.
Yi Chen: Thank you, Ted. That’s very helpful.
Ted Karkus: Thank you. And Sarah, do we have any more questions?
Operator: Our next question comes from [Lee Alper] with [Semiconductor].
Unidentified Analyst: Ted, could you give a little more color on what you need to complete the CLIA lab and how long will it take, or are you waiting for government approvals?
Ted Karkus: So the one thing, I won't say most proud of, because I'm proud of so much within our company. But it's our relationships with New York, DOH and all the regulatory. New York is the strictest state in the country when it comes to CLIA lab and all the regulatory procedures, and we pass everything with flying cars. We're in great standing and we've built a fantastic CLIA lab that started with COVID testing, which is a high complexity molecular lab. But then as I promised I would do, we completely diversified into a full clinical lab, clinical lab with blood, urine, toxicology and so forth. And so right now, we're just waiting for the validations to be complete to actually start that testing. So that business will start to ramp up later this year. What's nice about that business? You got to understand, when we did the COVID testing for two years, first of all, everybody thought it was going to last a year, and we ended up getting a windfall and got an extra year out of it. The market never gave any value to that business, because they knew it was going to end. When we build the CLIA lab business, the market's going to give value to that, because that's a business that's going to be ongoing that we're going to use the same expertise to build a COVID business. We're going to use to build the full diverse clinical lab business. However, that business is going to build a lot more slowly than COVID built, but it's going to have a much bigger value. It's a no-brainer for js to do this, because we already have the state-of-the-art lab, we're in great standing, we have all the licenses. And so we're simply waiting for the validations to be completed, which take a couple of months. And the same thing goes with our genomics lab. We have -- which is in the same location. We have literally world class equipment, we have relationships with the leading global manufacturers of equipment and consumables. And what's interesting is they don't want to compete with the labs that they are selling the equipment and the consumables to, but there are customers of theirs that are looking for processing, they are looking to get that processing on their specific equipment and on their latest and greatest state-of-the-art equipment. We have all that. And so we believe we are also going to get significant referrals from the companies that we are doing business with that we bought the equipment from and we are buying the consumables from. So there is enormous upside in our lab for the whole genome sequencing. And then in addition to that, ultimately, we should be able to provide the esophageal cancer test. At the end of the day, that's a diagnostic test. So whether you put that into our biopharma subsidiary or you put that into our diagnostics and lab subsidiary, there is real overlap there. So there is so much more to our lab than simply doing COVID testing. We are going in three different directions with it. And so our genomics business is already growing like wildfire. And then it's just a matter of time, esophageal cancer, that's for next year in terms of commercializing it. And in the meantime, we'll also be building a clinical lab and there will be nice synergies, because the lab activities are covered by some of the same people. Our lab tech, our sessioners, our customer service people, our IT platform, there is tremendous synergies between these various businesses. So it's just a no brainer to diversify an develop our clinical lab. But while the equipment is in for clinical lab, we built out our genomics lab and we are waiting for validation. And as we speak, we are also bringing in more genomics equipment. What we are doing with our genomics lab is truly incredible. In fact, we have a piece of equipment that wouldn't fit in the elevator. We couldn't get it up to steps. So they literally had to cut a hole in our roof and take a crane to put this equipment in. What goes out behind the scenes to building the type of company we are building, there is a lot that goes on behind the scenes, but we are doing all the right things. And I hope that gave you a little color for what we're doing with our lab.
Unidentified Analyst: Yes, a little more than I asked for, but thanks.
Ted Karkus: You are quite welcome. And Sarah, do we have any other questions?
Operator: There are no questions left at this time [Operator Instructions].
Ted Karkus: Okay. If there are no more questions, Sarah, then I would just like to wrap up and tell everybody thank you for being with me for this past hour. It's now 56 minutes. I think I covered a lot. Look, there is a lot I can go into. I could spend an hour just talking about each subsidiary of our company. You can get a lot more information if you go to our Web site and look at the new company presentation, which has been updated and goes into much more detail. And of course, we also have the Renmark presentations that you are welcome to join [58.41] [Indiscernible] for Renmark. I want to thank the support of our investment bankers. They have been incredibly helpful in helping our company build. I appreciate your following. Yi Chen, of course, always and Ashok Kumar, and our latest to follow, Hunter Diamond from Diamond Equity Research. I appreciate that report that you wrote on us. I'm really looking forward to the future. And thank you all for your time and best of luck. Have a great day. And thank you, Sarah.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.